Unknown Executive: [Audio Gap] 9 months of 2025, client deposits totaled PLN 221 billion, and client funds including investment funds reached PLN 249 billion. The gross loan portfolio stood at PLN 165 billion and total assets amounted to PLN 317 billion. On Slide 8, we are presenting core financial results. Like I said, net profit PLN 4,892 million. Net interest income, PLN 9,549 million. Net fee and commission, PLN 2.2 billion, up 5%. Total income, PLN 12 billion, up 6% year-on-year. For Q3 alone, it was nearly PLN 4 billion. Our capital position remains solid. Return on equity, 21.6%, excellent liquidity, LCR of over 203%. On Slide 10 and 12, we'll present the new features we've introduced to our offering. Just yesterday, we became one of the first to offer the Samsung Pay digital wallet. We are continuously committed to providing a wide range of payment solutions, and we remain a leader in the area with 1.3 million active cards in digital wallets. So very impressive. Same applies to the number of transactions. For SMEs, we've enabled multicurrency support on business cards. We've also introduced improvements to the Smart Loan process. Let's move on to Slide 13. Business data for first quarter. In retail banking, 4.8 million personal accounts we maintain at the moment, that's up 2% year-on-year. In quarter 3 alone, we opened 113,000 accounts. In cash loans, we issued PLN 9.3 billion in cash loans. In Q3 alone, this amounted to PLN 3.3 billion, 9% more year-on-year. And this marks a record-breaking quarter for cash loans, which we're very pleased about. For mortgages, this has been the best period for 5 quarters. In Q3, sales was PLN 3.1 billion. So similarly to previous quarters, most bulk of sales was based on fixed interest rate and the share of those loans in the total PLN portfolio is 48.6%. In the SME segment, over the first 9 months of the year, we issued PLN 3.9 billion in loans with PLN 1.3 billion in Q3 alone. We're advancing digital processes and the volume of SME loans issued entirely online has increased to leading continuously good results, PLN 3.5 billion, a 17% increase year-on-year. In Q3, this amounted to PLN 1.2 billion. Our e-loan, ePozyczka product is selling increasingly well, and it is now available to start-ups, too. In Business and Corporate banking, loan volumes increased by 8% year-on-year, FX income by 11%. Client activity in remote channels is growing, digital plus mobile customers. Now Corporate and Investment banking, revenues from capital markets rose by 56% treasury transactions up 15% year-on-year. Now moving on. Slide 15, the activity I mentioned previously. This, of course, is driving the size of our balance sheet. As of the end of September, the gross loan book was PLN 165 billion. On Slide 25 in the appendix, we show the sustained strong level of new loan sales across segments. As you can see, we see significant growth. And again, we're very pleased about, especially in corporate banking, 8% year-on-year and quarter-to-quarter, up 2%. Slide 16, client funds, PLN 249.5 billion. Deposits, PLN 221 billion, slight decline in deposits from individual clients, but term deposits, on the other hand, an increase in balance. The drop in current accounts was triggered by the drop in savings accounts. Corporate deposits at 2% increase, term deposits up nearly 8%. Deposits from the public sector increased by as much as 5% this quarter, and term deposits and current account balance also increased. Investment funds reached 23% increase year-on-year and 8% quarter-on-quarter. Now profit and loss account. Net interest income and NIM, that's Slide 17. The net interest income was PLN 9.5 billion, which is 5% better year-on-year. In quarter 3 alone, the growth was by 0.5%. Year-on-year, interest income increased by 6%, while -- and let me highlight that net interest income in quarter 3 is the highest this year and it's nearly as high as the record high quarter in 2024. And that's despite the interest rate cuts. Our NIM was 4.88% on continued operations. So the decline was really marginal. And let me highlight that was despite the interest rate cut. Slide 18, that's net fees and commissions. On a year-to-date basis, they total PLN 2.2 billion, which is 5% up on the last year. In quarter 3 alone, net fees and commissions was 3% higher than a year ago. We saw really nice growth in asset management fees by 18%, insurance fees, FX fees and brokerage fees. Quarter-on-quarter, FX fees increased, insurance fees increased and the asset management fees. Just like in previous quarter, let me highlight that this is the follow-up on this bigger number of transactions done by our clients. We have not changed our prices at all. Slide 19 outlines income. Total income, PLN 12 billion, as I've already said, growing by 6% year-on-year. Let me highlight that in the first 3 quarters, the gains on financial operations were much better than a year ago. In quarter 2, let me remind you, thanks to conducive market landscape, we earned outstanding results under the trading and valuation. Of course, this was driven primarily by FX transactions and trading. In quarter 3, the gains and losses on financial operations position actually normalized. Slide 20, very important for us, operating costs. After 3 quarters, this is PLN 3.6 billion, growing by 8% year-on-year. As you might remember from previous presentations, this is driven by higher contribution to the banking guarantee fund. Excluding regulatory costs, total costs increased 5% compared to the previous year, of course, driven by inflation, pay increases and cost of services. Compared to the previous quarter, the cost in total increased by 2%. Administrative costs without the regulatory costs grew by 4% year-on-year, but compared to the previous quarter, they declined by 7%. Staff costs, they increased by 5% year-on-year and 7% compared to the previous quarter. But this is clearly impacted by accruals for performance-driven bonuses and the focus we have for our performance this year. So the pace of growth in cost year-on-year for 3 quarters remained low at 3%. So as you can see, the pace of growth in cost is close to the growth in inflation, and we keep it under strict control. Loan loss provisions, the net balance for -- of the loan loss provisions for expected credit losses was PLN 439.5 million, much lower than the last year, but this was driven, first of all, the high comparative base. Last year, you might remember, we expanded the criteria for classifying exposures to Stage 2 and the impact of that was PLN 125 million. But the other reason for that is the sound and stable quality of our loan book. The cost of credit risk, 33 basis points, is one of the lowest historical results in the bank. Other key risk indicators like the share of NPLs at 4% remain at a good level. We also can see the stable levels of past due payments and new entries to the NPL. In quarter 3, we did not record any one-off major events. And as you can see on the next slide, we sold nonperforming debt worth nearly PLN 400 million, while the gain on that was PLN 98 million. Slide 22, banking tax and regulatory costs. As I said, in quarter 3, the regulatory and tax levies totaled as much as PLN 730 million. After 3 quarters, our PBT was PLN 6.4 billion, while the tax and regulatory levies totaled PLN 2.5 billion. Summing up our performance after 3 quarters at Slide 23. You can see here all the key lines and figures. I will not repeat it. Let me just highlight the effective tax rate. In nominal terms, the corporate income tax is 19%. But we have many lines in our P&L without the tax shield. So the effective tax rate is now 23.2%. So summing up, I'm happy with business performance. We can see the -- how active our clients are. Sometimes, you can see even record high sales volumes. We have really good quality of our portfolio. We have a high number of transactions and the growing number of transactions made by our clients, mobile transactions in digital channels. So all of that bodes well. We are really looking forward here to the results of rankings by Newsweek and Forbes to be announced today. So we are always curious how we benchmark against other business. And Agnieszka, over to you to the questions-and-answers portion.
Unknown Executive: We've got the questions ready. Thanks, Agnieszka. I tried to group the questions. So let's start from the question. It refers to the Polish government recently proposing changes to the bank's corporate income tax. What is your current estimated impact from these changes on the bottom line? What do you think about it? Do you have any strategies you could implement to alleviate this impact?
Unknown Executive: Well, let me take this question. In reference to what I have already said, banks are the biggest CIT payers. Every [indiscernible] PLN is paid by banks. Last year, out of 10 top payers, the 10 top payers included 6 banks, and the top 3 payers are banks only, including ourselves. So in my opinion, banks significantly contribute to the state budget. It's slightly surprising to us to make this sector the only one to contribute more, the sector that is contributing most really. So there are many opinions about it, some lawyers say there is a significant constitutional concern. The additional CIT rate should not solely rely on one sector. We contribute to the defense and military expenses. Maybe we'll have a separate conference about it, but also other social initiatives, education. We pay our taxes in Poland. We don't do any optimization abroad, we pay taxes here. So it should be stressed out that we share our profit with the state and with the Polish investors, including the pension fund. Let me remind you that over 23% of bank shares are held by [ office ], that's over 40 million future retirees. And if you look at the stock data, that means return on assets or yield. The banking sector is not the most profitable. The Association of Polish Bank did a research on that. There are 12 more profitable industry compared to the banking sector. We are -- our sector ranks only 13th in terms of profitability. And yet, we already paid the highest taxes in the country. So something very important that the nominal tax rate versus the effective tax rate, there is a difference. We pay more in terms of the effective rate. The nominal rate is 19%. So that would be an increase of 60% [ EBITDA, ] what impact this would have on our P&L. That's the comment I have when it comes to CIT.
Unknown Executive: Okay. We have a few questions regarding net interest income and the volumes. What is your current outlook on -- into 2025 and 2026? What is the sensitivity to rate cuts?
Unknown Executive: So we assume, it will go down to 4% beginning of 2026. So there will be 2 cuts of 25 basis points. We don't quote cuts in November, but if it's cuts then, of course, well, we forecast it will go to 4% in total, the market prices it in deeper -- but we assume 2 cuts in total sensitivity, no major changes. I said the same thing last quarter. Without SCB [ 257 ] sensitivity, if we have a cut of 100 basis points in the 12-month horizon. We presented on Slide 20. You can look at our NII, rates went down 100 percentage points, and our income is higher. So the bigger size of balance sheet neutralizes those effects. And we are nearing the easing -- the end of the easing cycle. What else? Expectations with regards to the growth in loans. We are optimistic. And so our CEO said, we are growing retail mortgages. We expect the trend to continue also in the business segment. And growing the business segment was 9%. So we think that in 2026, we will see growth in investments and the growth in loans to businesses will be solid.
Unknown Executive: And there's also question in English, when do we expect big cuts for loan volumes?
Unknown Executive: Well, we started the pickup in 2024. So we are not complaining about the lack of growth. In quarter 3, we can see the effect. But this is a one-off seasonal development. Sometimes, we have things coming into the portfolio and getting out especially in CIB. But for CIB, all other segments show solid growth. That's about -- referring to this section of questions. In referring to costs, there are 2 questions. A general one and a detailed one. Wojciech, the outlook for the growth in cost in 2026.
Wojciech Skalski: Just to remind you, and by way of a disclaimer, our bank does not publish official forecast. We can just treat it as some guidance. And as we follow the strict cost discipline, and nothing changes here. We know how to keep it in place. When it comes to our fixed cost overhead, we can say that if we take a look at the inflation outlook for the next year, that will be the indicator of the growth, the band of changes, but we shouldn't forget that there will be costs related to the change of the owner, but we are not ready yet to give any result figures. But I think that our next meeting, we will be able to tell you more. But that will be a separate category of cost for us because there will be nonrecurring. Looking at the detailed questions, let's read it out. What part of cost represented the cost of IT employees. But that depends how you define it, IT people. I try to take a look at that, and people who deal with technology in the common understanding, who works in the unit called the digital transformation division. But there are also people supporting operations in the bank, and we wouldn't treat that as IT. That's roughly 15% of our staff costs. But at the same time, we should remember about 2 things. People with IT skills work not only in this division, but also in others. So we are not capturing that so that we could give you a detailed analysis. But the other thing is also that the bank supported itself when we need short-term or especially support by contractors, IT specialists. When spending on this type of technological solution is that the total development is capitalized and then it's amortized totally, so its impact on cost -- so of those costs are quite wide ranging. But roughly, we can say, 15%. These are the people who work in the IT division.
Unknown Executive: Thank you, Wojciech. And the section about foreign currency mortgages. But we can actually boil down the answer to answering future risks and the expectations of provisions. Now once again, we have Michal Gajewski.
Michal Gajewski: Let me answer that. First of all, we believe that our provisions are adequate. The coverage ratio is 154% on average. We are reviewing parameters in our models, and we will have such a review in quarter 4. All the time, we keep supporting the settlement program. At the end of September, we signed more than 11,000 settlements because we think that this solution is the best for clients and for us as a bank. And that will be my comment to it.
Unknown Executive: A couple of credit risk. What do you think will be the normalized cost?
Unknown Executive: I don't know what you mean in terms of normalized, in what horizon. But we can -- but to give you some guidance for the future, we do not expect major changes here, either in the profile of cost of risk, and that's been mentioned in the presentation. And in the months to come, it should stabilize. You might remember that in our strategy, we had KPIs and the cost of credit risk across the cycle was from 70 to 90 bps, and that was given for consolidated data with SCB. And on Slide 24, as I said last quarter, the difference was in the order of 10, 15 bps. So you should really adjust that bank by this. But at the moment, we are at this point of the cycle with such macro outlook now and for the next year that we cannot see any dangerous signals. So when it comes to credit risk, we are optimistic and we expect stabilization.
Unknown Executive: There are a few detailed questions about deposits, hedges and NII. Let me start with a few questions referring to a decline in current deposits, that 4% in retail. What is the reason, the outflow? Is there any impact on that triggered by the owners change? But when it comes to the decline in current deposits, our CEO mentioned that, and it is stated directly in the presentation and in our report. And you have the figures there, current deposits in Poland include savings account and the decline in current deposits in quarter 3 was driven by the decline in balances and savings accounts because in quarter 2, we have special offers. When it comes to the current account just for daily banking, we can see positive transfer. So this was a one-off driven by savings accounts. And the explanation of that is on the presentation and the report. Corporate deposits, they increase. And there is a question about it, while interest expense declined at the same time on those deposit, how does it happen? The deposits are growing because the good relationships we have with our clients, and the interest expense declines because our -- because interest rates are cut because the beta, that is the percentage to -- but the extent of percentage share, we reflect the interest rate cut. So we reflect this interest rate cut in repricing our term deposits. So that's several percent, so that's beta. And that is the reason for the decline in our interest expense on deposits. And moving on to the next question about strategy. We will continue the strategy for term deposits, where for current deposits including savings accounts, we assume they will be growing. So our deposit strategy remains unchanged. So just one more detailed question about hedges. Is there anything exceptional happening in quarter 3? Not really. And I think, maybe as I do not understand the question. So if you have any doubts, please contact Agnieszka to discuss, and we will get that clarified. But our strategy assumes that at this point, some hedging positions for swapping the floating to fixed rates, and we are renewing them and rolling at lower rates. But otherwise, our strategy remains unchanged. And each quarter, the share of fixed rate loans and total loans keeps growing, which is the effect on the one hand of our hedging strategy, and on the other hand, this is the follow-up of the percentage of loans represented by fixed rate loans in the total sales. So we haven't changed our approach. More questions. I think we've got 3 left. Will there be a wider marketing campaign in the fourth quarter to support the loan volumes? No, the volumes are going up. They're beating the market. So I don't think we need any action to boost production. All right. Now legal risks linked to unauthorized transactions. There is a similar question whether the bank will take action to verify whether the potential change in terms of the CIT rate is not in breach of the constitution. Well, here, we're talking to the Association of Polish Banks about it. That's the forum where we discuss it. No decisions have been taken yet in that respect. Unauthorized transaction, maybe let's take that separately. We're not -- we don't have provisions in the third quarter for lawsuit, potential lawsuit in that respect. Nothing like this happened. We don't have any development in that respect to change our perspective regarding the legal risk versus the previous quarter. That's the end of this question. Lower credit fees, what was it driven by? The line includes the brokerage costs. We have a higher retail lending book, and it stimulated also the -- our network of brokers. And those costs, of course, encumber that line in our financials, hence, generating the drop. Any other questions, Agnieszka?
Agnieszka Dowzycka: No, we've exhausted the list.
Unknown Executive: If you have any questions after this call, of course, we'll be happy to take them. Send them to my office. Thank you very much. Goodbye. [Statements in English on this transcript were spoken by an interpreter present on the live call.]